Operator: Ladies and gentlemen, thank you for standing by. Welcome to Central Garden & Pet Company's Fourth Quarter and Fiscal 2025 earnings call. My name is Paul and I will be your conference operator for today. At this time, all participants are in a listen-only mode. Following the prepared remarks, we will hold a question and answer session. Instructions will be given at that time. As a reminder, this conference call is being recorded. I would now like to turn the call over to Friederike Edelmann, Vice President, Investor Relations. Please go ahead.
Friederike Edelmann: Good afternoon, everyone, and thank you for joining Central Garden & Pet Company's fourth quarter and fiscal year 2025 earnings call. Joining me today are Nicholas Lahanas, Chief Executive Officer; Bradley G. Smith, Chief Financial Officer; John Edward Hanson, President of Pet Consumer Products; and John D. Walker, President of Garden Consumer Products. Nicholas will start by sharing today's key takeaways followed by Bradley, who will provide a more in-depth discussion of our results. After their prepared remarks, John D. Walker and John Edward Hanson will join us for the Q&A session. Before they begin, I would like to remind everyone that all forward-looking statements made during this call are subject to risks and uncertainties that could cause our actual results to differ materially from those forward-looking statements expressed or implied today. A detailed description of Central Garden & Pet Company's risk factors can be found in our annual report filed with the SEC. Please note that Central Garden & Pet Company undertakes no obligation to publicly update these forward-looking statements to reflect new information, future events, or other developments. Our press release and related materials, including GAAP reconciliation for the non-GAAP measures discussed on this call, are available at ir.central.com. Last but not least, unless otherwise specified, all comparisons discussed during this call are made against the same period in the prior year. If you have any questions after the call or at any time during the quarter, please do not hesitate to contact me directly. And with that, let's get started. Nicholas?
Nicholas Lahanas: Thank you, Friederike, and good afternoon, everyone. I'd like to begin by highlighting three themes we will focus on today. First, fiscal 2025 was a year of meaningful progress and tangible accomplishments across Central Garden & Pet Company. Our record bottom-line performance underscores the strength of our business model, the rigor of our execution, and the relentless commitment of Team Central. Second, we continue to strengthen our foundation by streamlining operations, consolidating facilities, optimizing our portfolio, and driving efficiencies that enhance our cost structure and position us for sustained profitable growth. And third, as we enter fiscal 2026, we're energized by our momentum and the opportunities ahead. Powered by our central-to-home strategy and sharp disciplined execution, we're poised to accelerate our long-term agenda with even greater focus and agility. Now let me expand on each of these points. First, our fiscal 2025 achievements. Thanks to the hard work and dedication of our more than 6,000 employees, we closed the year with expanded gross margins, record EBITDA, and record earnings per share. These results underscore the strength and resilience of our business model as well as the drive and commitment of our people. We delivered consistent performance while advancing portfolio optimization and maintaining disciplined cost management. Throughout the period, we upheld operational rigor, streamlined our footprint, and drove efficiency initiatives across both segments. We also navigated variable weather conditions by simplifying our business and tightly managing costs, actions that have made our model even more resilient and predictable. Results reflected the transition of two third-party product lines in our Garden Distribution business to a direct-to-retail model. At the same time, we continue to deliberately reduce our exposure to low-margin durable products in both pet and garden. A strategic move that, while creating short-term top-line pressure, strengthens our portfolio and positions us for sustainable profitable growth. We ended the year with record results, a fortress balance sheet, and strong momentum as we head into fiscal 2026. Second, advancing our cost and simplicity agenda. Our initiatives continue to deliver measurable sustainable benefits, enhancing productivity, expanding margins, and positioning us to fuel future growth. We've largely completed our multiyear supply chain network design project, a major milestone that has strengthened customer alignment, increased service speed, and improved cost efficiency across our logistics network. The project also established enterprise-wide e-commerce fulfillment capabilities and modernized our distribution footprint. Together with the sale of our Garden Distribution business and the intentional exit of the Pottery business, this work has enabled us to close 16 legacy facilities to date. By the end of the calendar year, we will be operating a modern, high-performing infrastructure anchored by DTC-enabled fulfillment centers in Salt Lake City, Eastern Pennsylvania, and Covington, Georgia. A network built for speed, efficiency, and growth. Across our footprint, systems, and processes, we're streamlining operations, boosting productivity, and freeing up resources to reinvest in the business. These actions are making Central Garden & Pet Company simpler, stronger, and better positioned to scale, creating a more resilient, cohesive, and predictable company that delivers consistent performance, adapts with flexibility, and is poised to capture the full potential of the opportunities ahead. Third, outlook for fiscal 2026. We entered the year with strong momentum, clear priorities, and a unified focus on delivering results. Our diversified portfolio, operational agility, and prudent cost management give us confidence in our ability to deliver profitable growth despite the current global macro environment and policy shifts. We expect consumers to remain focused on value and performance with a promotionally active but stable retail environment and continued channel shifts from pet specialty to e-commerce. We're delivering with precision to offset cost inflation, tariffs, and supply chain complexity through productivity gains driven by our cost and simplicity agenda and pricing discipline. After incorporating these factors and our operating plans, we expect fiscal 2026 non-GAAP earnings per share to be $2.70 or better, supported by margin expansion and operational performance. As always, our outlook excludes potential impacts from acquisitions, divestitures, or restructuring actions, including activities related to our ongoing cost and simplicity agenda. We remain confident that the central-to-home strategy is the right path and the foundation for long-term value creation. We're combining the agility of a startup with the strength and scale of a category leader, empowering business units to innovate quickly while leveraging Central Garden & Pet Company's operational and financial capabilities to accelerate growth. By sharing tools, data, and talent across the organization, we're building a connected enterprise. One that learns faster, executes smarter, and compounds its competitive advantage over time. This approach enables us to bring new ideas to the consumer faster, capture opportunities sooner, and scale what works across our platform. Looking ahead, we'll continue to balance sensible cost and cash management with targeted investments that fuel organic growth, particularly in innovation, e-commerce, and digital technology. A key priority is making our data AI-ready, improving accessibility, quality, and integration to generate deeper insights and unlock meaningful value and competitive advantage across the business. These strategic investments are already translating into stronger innovation momentum. Recent launches highlight how we're combining insights, performance, sustainability, and consumer impact. Examples include wild bird feed, our redesigned Pennington feeding frenzy, and 3D Pro lines that elevate visibility and engagement both online and at retail, supported by a robust digital marketing program. Worry Free 30% Vinegar, a high-performance multipurpose cleaner six times stronger than standard vinegar. Farnam Endure Gold Fly Spray, a next-generation EPA-approved formula that delivers long-lasting and highly effective fly control, bringing advanced performance and care to horse owners. In parallel, M&A remains a strategic lever for growth. We're actively pursuing margin-accretive consumable businesses that complement our portfolio and expand our presence in attractive categories. While market engagement has increased, deal flow in our core categories remains somewhat limited. We expect activity to accelerate as market conditions continue to improve. I want to thank our team across Central Garden & Pet Company for a record year of meaningful progress and unwavering focus. We've done a tremendous amount of foundational work and as a result, we're entering fiscal 2026 with the business performing at a very high level. With strong financial flexibility and an improving M&A landscape, we're confident in the road ahead. That confidence is reinforced by the strength of our retail partnerships, which continue to deepen and drive mutual growth. As recognition of that strength, we were honored to be named Lowe's Lawn and Garden Vendor Partner of the Year and KT was recently recognized with the NCAP's 2025 Pet Amazon Best in Class PDP Award, for Excellence in product content and presentation. And with that, I'll hand it over to Bradley. Bradley?
Bradley G. Smith: Thank you, Nicholas. Building on Nicholas's remarks, I will begin with our fiscal 2025 results. Net sales were $3.1 billion, a decrease of 2%. While variable weather and softer demand in pet durables created meaningful headwinds, the overall sales decline for the year was driven entirely by two key factors. First, our proactive decision to reduce exposure to lower-margin businesses, including pet and garden durables, as well as our UK operations. This step is part of our ongoing effort to optimize the portfolio, improve margins, and strengthen the foundation for sustainable growth. Second, the transition of two third-party product lines in our Garden Distribution business to a direct-to-retail model. Importantly, our remaining portfolio grew slightly for the year and delivered record sales across several key businesses, including Wild Bird, Dog Treats, Equine, and our professional portfolio, a clear sign that our underlying business is strong and that our strategy is working. Non-GAAP gross profit was $1 billion, up 4.5%, and non-GAAP gross margin expanded 210 basis points to 32.1%, largely supported by productivity initiatives. Both segments contributed to the improvement. Non-GAAP SG&A expense was $738 million, roughly in line with the prior year. As a percentage of sales, non-GAAP SG&A was 23.6%, compared with 23%, mostly due to lower volume and the sequencing of productivity and commercial investments. Throughout the year, we balanced sensible cost management with continued investment in long-term growth drivers. Non-GAAP operating income for the year increased to $265 million from $223 million, and non-GAAP operating margin expanded to 8.5% from 7%, supported by structural cost improvements and overall strong execution. Non-GAAP adjustments totaled $15 million in fiscal 2025, all related to our cost and simplicity agenda. In our Garden segment, these adjustments largely reflected the consolidation of two legacy distribution facilities, one in Ontario, California, and another in Salt Lake City, Utah, into a single larger and more modern site in Salt Lake City. That work began in the third quarter and continued into the fourth quarter, resulting in $5 million in SG&A charges. In our Pet segment, the adjustments were mainly related to the strategic wind-down of our UK operations and the transition to a more profitable direct export-only model. This initiative spanned the second through fourth quarters and resulted in $10 million in total charges, $6 million in cost of goods, and $4 million in SG&A. Below the line, net interest expense was $33 million compared with $38 million by higher interest income from larger average cash balances. Other expense was $500,000 compared with $5.1 million as we lapped the prior year impairment charge on two minority investments. Non-GAAP net income totaled $174 million, up 22%. We delivered record GAAP and non-GAAP earnings per share of $2.55, up $0.93, and $2.73, up $0.60, respectively, exceeding both our guidance and last year's performance. Adjusted EBITDA for the year was $371 million compared to $334 million. Our effective tax rate for the year was 24.4% compared to 23.2%, due primarily to the non-deductibility for tax purposes of losses incurred in connection with the wind-down of our UK operations. Now turning to the consolidated financials for the fourth quarter. Fourth quarter net sales were $678 million, up 1% versus the prior year, led by strength in Garden. Non-GAAP gross profit for the quarter was $197 million compared with $174 million, and non-GAAP gross margin expanded 310 basis points to 29.1%. It's worth noting that we lapped a significant grass seed inventory charge that was taken in last year's fourth quarter. Excluding the impact of that charge, our gross margin rate was consistent with the prior year as productivity improvements effectively offset the initial impact of tariffs. Most of our actions to mitigate tariff-related cost increases are only now beginning to flow through the P&L, positioning us for additional benefit going forward. Non-GAAP SG&A expense for the quarter was $198 million, a 7% increase, and as a percentage of net sales was 29.2% compared with 27.7%. The increase largely reflects the cadence of investments tied to our productivity and commercial initiatives. Non-GAAP operating loss for the quarter was $649,000 compared with $11 million, and non-GAAP operating margin improved to negative 0.1% from negative 1.7%. Non-GAAP adjustments for the quarter totaled $6 million, including $3 million related to our UK operations and $3 million associated with the Garden facility consolidation. Of the total, $5 million was recorded in SG&A and $1 million in cost of goods. Below the line, net interest expense was in line with the prior year. Other expense for the quarter was $600,000 compared with $6 million. Non-GAAP net loss for the quarter was $5 million compared with $12 million. GAAP loss per share was $0.16 compared with $0.51, and non-GAAP loss per share was $0.09 compared with $0.18. Adjusted EBITDA for the quarter was $26 million compared with $17 million. Now let me provide highlights from the fourth quarter from our two segments, starting with Pet. Net sales for the Pet segment were $428 million, a decrease of 22%. Due to the closure of our UK operations and lower durable sales, both the result of deliberate actions to simplify the business and enhance profitability. These impacts were partially offset by strong growth in our Animal Health businesses, particularly within our professional portfolio and equine. While demand for durables remains soft, consumables performance continued to be relatively stable, supported by positive point-of-sales trends in the fourth quarter. Consumables now represent roughly 84% of total Pet segment sales, an all-time high, highlighting the strength and resilience of our core business. Across the Pet segment overall, we maintained our market share and delivered gains in dog chews, pet bird, equine, and flea and tick, as well as in our professional portfolio. E-commerce continues to play an important role in our channel mix, representing 27% of total Pet segment sales, consistent with the prior two quarters, reflecting steady consumer engagement across digital platforms. Non-GAAP operating income was $31 million compared with $35 million due to slightly lower volumes combined with the timing of investments and productivity and commercial initiatives. Non-GAAP operating margin contracted to 7.2% from 8%. Adjusted EBITDA for the segment was $41 million compared with $45 million. Now moving to Garden. Net sales for the Garden segment were $250 million, a 7% increase. We benefited from an extended selling season driven by favorable fourth-quarter weather following a cool and wet third quarter. We also saw improved sell-through aided by additional product placements, strong retail execution, and disciplined inventory management. Our wild bird, grass seed, fertilizer, and packet seed businesses delivered particularly strong quarters with growth in both sales and share across retailers and channels. The strong fourth-quarter rebound made this our biggest point-of-sale year ever in Garden despite the reduction in our distribution business, variable weather earlier in the year, and lower home center traffic, a testament to the agility of our teams and the strength of our retail partnerships in Garden. Garden e-commerce sales grew at a double-digit rate across every category, surpassing 10% of total segment sales for the first time. Enhanced product content, improved videos, and targeted new item introductions increased click-through, add-to-cart, and conversion rates across retailer platforms. Results remained especially strong in wild bird and grass seed, where we continue to lead the category and deliver robust growth across both pure play and omnichannel partners. Given the garden industry's relatively low digital penetration today, we see significant runway for sustained online growth across our categories in future quarters. Non-GAAP operating income came in at $1 million, an increase of $26 million, with non-GAAP operating margin expanding to a positive 0.4% from a negative 10.6%. Adjusted EBITDA totaled $11 million, an improvement of $25 million, underscoring the strong finish to the year. Turning now to the balance sheet and cash flows. Cash flow from operations was $333 million in fiscal 2025, compared with $395 million a year ago. Our ongoing focus on working capital efficiency resulted in an additional $36 million reduction in inventory, our tenth straight quarter of year-over-year improvement. CapEx for the year was $41 million, about 4% lower than last year, reflecting prudent investments primarily in productivity-enhancing initiatives and essential maintenance projects. Depreciation and amortization were $85 million, 7% below the prior year, consistent with our focus on efficient capital deployment. At year-end, cash and cash equivalents totaled $882 million, up $129 million, underscoring our strong liquidity and consistent cash generation. Total debt was $1.2 billion, unchanged from the prior year. Gross leverage ended the year at 2.8 times, both below last year and our target range of 3 to 3.5 times. Net leverage was approximately 0.8, supported by our solid cash position, and we had no borrowings outstanding under our credit facility at year-end. This balance sheet strength provides the flexibility to invest in growth, maintain financial resilience, and return value to shareholders. Looking ahead to fiscal 2026, and as Nicholas mentioned earlier, we are guiding non-GAAP EPS to $2.70 a share or better, reflecting continued focus on operational excellence, margin expansion, and disciplined cost management. While the tariff environment remains fluid, we currently project incremental year-over-year gross tariff exposure of roughly $20 million over the next twelve months. The majority of the exposure is within the Pet segment. We are expecting to offset most of the tariffs through pricing, portfolio, and supply chain actions. We plan to invest approximately $50 million to $60 million in CapEx, primarily maintenance and productivity initiatives across both segments, underscoring our commitment to high-return projects that strengthen operations and enhance profitability. For the first quarter, we expect non-GAAP earnings per share of approximately $0.10 to $0.15, consistent with normal seasonal trends. It's important to note that last year's first quarter benefited meaningfully from favorable timing of both shipments and promotional activity. This year, we also have one less shipping day between Christmas and the end of our fiscal quarter ending December 27. In addition, the results will reflect a temporary shipment hold we initiated with a large retailer and the shifting of certain orders into the second quarter. As a reminder, the first quarter is typically one of our smaller periods and not indicative of full-year performance. As always, our outlook excludes any potential impacts from acquisitions, divestitures, or restructuring activities that may occur during fiscal 2026, including projects under our cost and simplicity agenda. That concludes our prepared remarks. Operator, please open the line for questions.
Operator: Thank you. We will now be conducting a question and answer session. Our first question is from Bradley Bingham Thomas with KeyBanc Capital Markets.
Bradley Bingham Thomas: Good afternoon. Thanks for taking my question. I wanted to ask about the operating margin at a high level. You all have been doing a tremendous job of driving improvements and efficiencies. And so as we think about this upcoming fiscal year, I was hoping you could talk about some of those puts and takes and how they sort of are expected to net out between cost and simplicity, tariffs, demand challenges, etcetera. Thank you.
Nicholas Lahanas: Brad, this is Nicholas. Yes, we're going to continue to work on cost and simplicity. So we have every intention of expanding margin into 2026. We may not get as dramatic results as we've got in the last few years because we're seeing that the low-hanging fruit has been picked in a lot of ways. The other thing I would say, don't underestimate the effect that product mix has. So we have to see how that plays out as well. But I would say for right now, as we put together our plans for 2026, we are expecting to continue to expand margin.
Bradley Bingham Thomas: Great. And if I could ask a follow-up with respect to the Garden segment. It seems like some really strong execution there. I know that the months ahead will be important as we try to figure out what sell-in can look like for the spring 2026 garden season. But can you give us a little more color about how you're feeling about that? And what the outlook of that garden category may be for next year?
John D. Walker: Brad, it's John D. Walker. I'll take that question. Thanks for the question. I'd say that we're looking forward, of course, everything's dependent on what takes place in season, particularly around weather. But I'd say going into it, we are cautiously optimistic. I think one of the things that gives us reason to believe is our year-over-year points of distribution or total distribution points. That's SKU store combinations. Distribution gains, if you will. We feel great about that. It's gonna, you know, we're gonna show an increase year over year. If you exclude the pottery business that we exited, our points of distribution will be up 8% year over year. And if you look at manufactured products that we manufacture in our plants, it will be up double digits. So I think that strong distribution base execution by our team going into season, the controllable causal factors, we feel great about. It's up to mother nature to do her part. But I'd say, cautiously optimistic would be my terminology looking at the season.
Bradley Bingham Thomas: That's very helpful. Thank you so much.
Operator: Our next question is from James Andrew Chartier with Monness, Crespi, and Hart.
James Andrew Chartier: Hi, thanks for taking my question. I just want to talk about, it looks like corporate expense was up about $11 million in the fourth quarter after being down in the first three quarters. So just wanted to get some more color on that. And then can you quantify the impact of tariffs on the fourth quarter? Please? Thanks.
Bradley G. Smith: So corporate expenses, I mean, a lot of it had to do with kind of a quarterly variation of timing expenses during the year when compared to last year. So there was that element. But on top of that, we had some investments that we made to support commercial growth in '26, some of which we recorded in corporate. And then we also had some other miscellaneous true-ups we had related to certain reserves and whatnot. So it was really a combination of three different elements. Nothing that would suggest anything structural on a full-year basis going into this year?
James Andrew Chartier: Great. And then on the tariff?
Bradley G. Smith: Yes. So tariffs, gross tariffs were, I want to say roughly $7 million to $8 million in the fourth quarter.
James Andrew Chartier: Okay. And then you talked about investing behind, I think, a new product launch for pet. Just curious what that spend looked like and then how that product performed for you?
John Edward Hanson: Yeah. We've got a this is John. The product launch we mentioned was the Farnam Endure Gold Fly Spray and that's a new EPA-approved product. And the efficacy, you know, is significantly better. We're in the process of launching it right now. Customer feedback is really strong. But, you know, it's a bit of a seasonal business. So we're really see that takeaway really until next season, kinda March, April, May, June. We also made some incremental investment at Farnam in Q4.
Bradley G. Smith: That ended up paying off quite well where we took several SharePoints in equine during the quarter.
John Edward Hanson: Yes, we did. And we continued to invest where we see high opportunity and high return, that was one of them. And that was focused on digital and content and paid off.
James Andrew Chartier: Great to hear. Thank you.
Operator: Our next question is from Robert James Labick with CJS Securities.
Robert James Labick: Good afternoon. Thanks for taking our questions. Of sticking with the tariff theme, obviously, you're navigating it through it like everyone else as well. You said price is going to be one lever. Can you talk have your retail customers accepted your pricing? Have they passed it along? Kind of when will you know consumer I guess, acceptance and elasticity? How are you thinking about those?
Bradley G. Smith: Maybe I'll answer the first part where we are in the negotiations and John, maybe you can jump in on the others. Yes, I would say we're more than halfway there in terms of negotiations with customers. It's almost exclusively on the pet side of it on Garden. And they've obviously been very challenging. We had to hold some shipments as a result of those discussions with one of our customers, which we mentioned a bit earlier. So we are expecting to be done with those discussions, I think, kind of end of this quarter, maybe early Q2. John, you want to comment on the consumer part and passing through to retailer?
John Edward Hanson: Yes. So we haven't seen the prices go up yet in the marketplace. You know? So a little bit TBD. Now we can, you know, model what we've done in the past, and we do a good job of doing that. And that speaks to probably around a one elasticity. And it's been pretty consistent. But we do everything we can to in these tariffs. Right? We look at country of origin and we look at our SKUs and make sure we got the right SKUs. And if we have to optimize them, you know? And then pricing, you know, is a partnership with the customer. And we do it as last resort. But we do do it and have done it before.
Bradley G. Smith: Yeah. And we don't price to build margin. We price to offset some of the costs. That's something we're very, very disciplined about. Yes. I mean, Nicholas mentioned earlier that we're in a position to modestly expand margin this year and is clearly going to be the ongoing cost and simplicity efforts, including the tariff products as well as other projects we've got going on that really are going to be needed to get us over the line. And be able to expand margin.
Robert James Labick: Okay, great. And obviously, you've had a lot of progress over the last few years cost and simplicity and the margin improvement. You talk about how much you're you said, I guess, in Q4 a little bit you reinvested for growth in 2026. How do you think about changing the investment level or either promotional activity or brand building as you continue to get this margin improvement from cost and simplicity?
John Edward Hanson: Yes. We're definitely up in our game in terms of investment around the consumer, around digital.
Bradley G. Smith: And also we want to up our game around innovation. So really those are the three areas we need to get better at and put some money behind.
John Edward Hanson: We're trying to stay agile in a lot of ways. So the great thing about digital is we can make an investment and see how it does. And pivot based off of that. So when we see something that works, we tend to, you know, continue to feed the beast. And then if something doesn't, you know, we'll pivot and continue to tweak. So it's a very dynamic agile way of promoting product. Mainly through retail media.
John Edward Hanson: But we're also building out a lot more content we have in the past. And you can see that with our feeding frenzy, you know, wild bird product, that's out there now. And we've had some nice results there and plan on building on that. That's really a really nice case study for the company, and we're gonna be doing more of that going forward.
Robert James Labick: Thank you.
Operator: Our next question is from Brian McNamara with Canaccord Genuity.
Brian McNamara: Afternoon, guys. Thanks for taking the questions. So I know you don't guide on the top line, but I was hoping you could provide some kind of high-level thoughts on how you see 2026 potentially playing out? And what outside of weather could drive better or worse top-line trends?
Nicholas Lahanas: Yeah. I mean, our view right now is that the top line is going to be challenging. Once again, as it was in 2025. We think '26 is going to be extremely challenging. For reasons that we sort of outlined, we've got a little bit of a headwind with tariffs. Consumer confidence is at a low point right now. So we really need to see how the consumer is going to react to pricing. And really, you know, their behavior and the whole notion of the bifurcation of income. Right now is very real. We're seeing it in both of our categories. So it's a little bit of a wait and see. Think, you know, again, we're not gonna guide on that top line, but you know, we make every effort possible to grow every year. And that's what we're gonna do going into twenty-six. So that's about all we can say right now. More to come. As we get deeper into the year. And then, you know, as always, weather is gonna play a pretty big impact, particularly on the garden side.
Bradley G. Smith: Hey, Nicholas. I think one thing that I would add to that is the SKU rationalization and some of the portfolio that we've done has also been a drag on the top line, but it's one of the reasons why our margins have been so strong.
Nicholas Lahanas: So we'll continue to look at SKU rationalization. It's an ongoing process.
Brian McNamara: Yep. That's absolutely right. Great.
Brian McNamara: And then secondly, I know you mentioned, I think, durables are 16% of your pet sales. How did durables do overall as a category that still a double-digit decline in Q4?
John Edward Hanson: Yes. It's yeah, 16% is the right number and it was a double-digit decline in Q4. Keep in mind what Bradley said as well. You know, a big piece of that decline was our proactive decisions to discontinue low-margin no-margin SKUs. And that was completed in half one. So we're lapping that. We've got another first half of next year to lap that. But that was a huge contributor to the decline.
Bradley G. Smith: Yeah. I mean, the hope is kind of as we get into the second half of this year, we'll be at a point where, you know, year-over-year durables trends are not significant enough that we're discussing it quarterly.
Brian McNamara: Great. And then what's the company's house view on pet ownership trends currently? And kind of what data do you focus on to inform that view?
John Edward Hanson: Yeah. We've got a variety of sources of data. The view is it's stabilizing and is pretty stable right now. We do have a live animal business as well. And in Q4, we saw that stable kind of up slightly also slightly, but we'll take it. Right? So as we look forward into next year, we do believe that stabilized. You know? And if I looked at the categories that we compete in for the year, you know, I would hope they'd be up. They'd be stable or up slightly. You know, low single digits.
Nicholas Lahanas: Yeah. Just to pile on to what John said, our live goods, our live animal business sequentially had less and less declines. And actually, Q4 posted about a 1% gain. And you know, that gives us some optimism because it's quite a trend. You know, we can see the trend heading in a very positive way.
Brian McNamara: Great. And then just the last one on capital allocation. I know that company repurchased quite a bit of stock from Q1 to Q3 and very little in Q4, and you're sitting on a record cash balance. I'm curious how we should read that as the M&A pipeline improves? Are you keeping dry powder or is it something else?
Bradley G. Smith: We're definitely keeping dry powder. We're actively on the hunt. We are, as you know, Brian, the market is not as robust as we'd like it to be in terms of interesting opportunities, particularly in margin-accretive pet consumables, which is a bit our bull's eye. But we're continuing to be optimistic that we're going to find some deals to do this year.
Nicholas Lahanas: But we're also still remaining opportunistic on the stock price. Even this quarter, we bought back about $18 million in the quarter. So when we see dips, we're going to take advantage of those because we do have conviction that it's undervalued and a tremendous opportunity here. We'll always be there to return money to shareholders.
Brian McNamara: Great. So I appreciate the color.
Operator: Thank you. Our next is from Andrea Teixeira with JPMorgan.
Andrea Teixeira: Hi, good afternoon, everyone. Thanks for taking the question. First, can you comment on the pricing that you're embedding into fiscal 2026? And understandably, mentioned durables may still have a double-digit decline. I understand the first half similar to what happened in this quarter. Given the timing of some of the SKU rationalization. So maybe if you can kind of, like, let us know how the underlying price pricing embedded into your guide? And then my second question also related the guidance since fiscal 'twenty-six. On the margin front, you obviously made significant progress in your rationalization process. What should we be thinking about margins going forward? Should we be keeping that same progress I mean, taking the fourth quarter, of course, there's some seasonality there. So if you can help us kind of, parse out how we should be thinking about margins. Thank you.
Nicholas Lahanas: Thanks, Andrea. Yes, pricing, we're looking to take some price fairly modest, about 1% going into 2026. Really designed to just offset tariffs and some commodity exposure. So pretty modest overall, nothing like we had a few years ago when inflation went completely bananas. In terms of margin, we go into every year wanting to expand margin. That's really part of our financial algorithm. Q4, we expanded by 310 basis points. Going forward, it's going to be a little bit more modest. We've gotten through a lot of the low-hanging fruit, but we are planning on expanding margin into 2026 for the total company.
Andrea Teixeira: Okay. Thank you.
Operator: Our next question is from William Michael Reuter with Bank of America.
William Michael Reuter: Hi. So my first question is in lawn and garden. So you said your points of distribution, excluding the exit of pottery, was up looks to be up 10% for next year. It sounds like there maybe is, like, 1% price in there. If weather were to be equal, I don't see why we wouldn't see a lot of growth in the lawn and garden revenues next year. I guess, what is the conservatism that's off that and that your tone doesn't sound more bullish?
John D. Walker: Well, I did say cautiously optimistic. But just to add a couple of the a little more color. So excluding the pottery exit, will be up high single digits in items that we manufacture will be up double digits. So, yes, we're optimistic. Very bullish. With regard to that. Weather is always an unknown. And, you know, we don't plan for improvement in weather year over year. However, if there is improvement in weather, then I think we have a very we have a very outlook on the year. So again, you know, I'm just trying to keep it somewhat cautious before the season. We are a seasonal business. Last year during the peak sixteen weeks of the season, we had rain on eight of those weekends. So, hopefully, year over year, there's improvement there. And if there is, then I think we feel great about our prospects for the year.
Bradley G. Smith: With top line, we are also remember, we're still unwinding a large vendor that has chosen to go direct. And so that's gonna be a headwind in '26 as well. Similar to what we had in 2025.
William Michael Reuter: The same vendor?
Bradley G. Smith: Yeah.
William Michael Reuter: The eight of 16 key weekends, when does that period start for you?
John D. Walker: March through May.
William Michael Reuter: Okay. So, basically, March 1 is the first of those days. Okay. And the second is gonna be a little bit of a follow-up, but you know, you are seeing modest M&A. When asked about share repurchases, you said you purchased $18 million. It's just so small in the context of how much money you guys have. Do you I mean, are you just gonna sit on the cash and until the M&A environment and opportunities become more plentiful? Or, you know, would you consider either a large dividend or share repurchase at some point?
Nicholas Lahanas: Well, the $18 million is just this quarter. If you look at last year, did over $150 million, which is a little more relevant. We're going to probably go through that with our Board, not something we're prepared to discuss right now. My bias and Bradley's bias would be to hang on to the money a little while longer and really look for M&A. For us, that's a lot more exciting, helps grow the top line. Helps fill out the portfolio. We believe that's really why a lot of shareholders hold the stock. Is our ability to do M&A. It's really foundational. The company. So that would be our bias. That said, we want to make sure we're doing right by our shareholders. And why we continue to buy the stock back.
William Michael Reuter: Got it. Okay. Cool. I'll pass to others. Thank you.
Operator: Our next question is from Carla Casella with JPMorgan.
Carla Casella: Hi, thanks for taking the question. First one is around you mentioned some shipments that were going move from 1Q into 2Q. Did you quantify that?
Bradley G. Smith: No. Will you?
Nicholas Lahanas: No. No. Okay. That number is a moving that number is evolving. So it would just be a Yeah. Carla, we won't quantify it because there's a number of factors that are at play. It's not only shipments that we know of right now, but and we've talked about this lot. Over the years. When we get into that December time frame, so towards the '1, you're competing for trucking with, you know, with the large retailers as they're kinda winding down Christmas. And a lot of times, we don't know if the trucks are gonna show up. And so what we had last year was, you know, all the stars sort of aligned for Q1. If you recall, last year, Q1, we had a little bit of a, you know, call to pull forward. We had, you know, shipments that normally ship in Q2 fall into Q1. Our top line was up. And then Q2 early on was a little bit softer. We have a little bit of the reverse effect that we think is gonna happen. And, I mean, the delayed shipments we know about, but then there's also the noise of will those trucks show up sort of at the December, which is a bit of a coin flip.
John D. Walker: Yeah. Nicholas, I'll add a little more color to that. So Carla, this is John D. Walker. And on the garden side of the business, at the '1, we received a lot of the orders for retailers that are setting their stores for the upcoming season, the lawn and garden season. And a lot of that typically ships between Christmas and New Year's. Oftentimes, they don't want to bring in inventory before Christmas. And this year, our fiscal quarter ends on the twenty-seventh. So we have one shipping day after between Christmas and New Year's. We haven't even received all of those orders yet from retailers. And really, as Nicholas said, trying to pinpoint exactly what is going to shift in Q1 and what's going to shift into Q2. Intuitively, it tells us that some shift to Q2 will happen, but it's really hard to quantify it this early. Does that make sense?
Carla Casella: Okay. Great. Yeah. That does. And that's super helpful. Other thing is you talked about that you're seeing the income dispersion that we're also hearing a lot of retailers talk about. Are you seeing also can you talk about whether you're seeing strength or weaknesses in any of your different channels, home centers, specialty pet, mass, etcetera?
Nicholas Lahanas: I mean, the biggest trend we're still seeing is sort of the migration to online. Overall across both segments. Pet being more developed online than garden. But if you look at the garden growth rate, it's been just tremendous. You know, we have 60% growth on the garden side with some of the online retailers. And it's quickly catching up. I think you're just seeing some volume leap, brick and mortar. And go in online. I think some of the retailers that have robust omnichannel strategies are the ones winning right now. So we're seeing some of that. As far as the income and that diversion of income, the bifurcation of income rather, I'm not sure we're seeing it in any specific channel. I'll let John and John D. Walker weigh in on it. But as far as where we're sitting, we're not seeing a ton of it.
John Edward Hanson: Yeah. On the pet side, I would add, I don't think we're seeing a ton of it. The pet specialty channel, as we've communicated in the past, remains challenged. Foot traffic has been a bit of a challenge. I do believe as we see live animals stabilize, that's going to be good for that channel. But bifurcation of income, we're not I can't call anything specific out.
Carla Casella: Okay. Great. Thanks a lot.
Operator: And that was our last question. And with that, we're going to close the call. Happy Thanksgiving, and we'll take your questions if you have any during the quarter.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.